Operator: Good morning. And welcome to Kirkland's 2019 Fourth Quarter Earnings Call [Operator Instructions]. Please also note today's event is being recorded. I would now like to turn the conference call over to Jeff Black of Investor Relations at SCR. Please go ahead.
Jeff Black: Thank you. Good morning. And welcome to Kirkland's conference call to review results for the fourth quarter of fiscal 2019. On the call this morning, we have Woody Woodward, Chief Executive Officer and Nicole Strain, Chief Financial Officer. The results as well as the notice of the accessibility of this conference call on a listen-only basis over the Internet were announced earlier this morning in a press release that has been covered by the financial media. Except for historical information discussed during this conference call, the statements made by the company management are forward-looking and made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Kirkland's actual results in future periods to differ materially from forecasted results. The risks and uncertainties are more fully described in Kirkland's filings with the Securities and Exchange Commission, including the company's annual report on Form 10-K filed on March 29, 2019. I will turn it over to Woody.
Woody Woodward: Thanks Jeff. 2019 was a year of significant transformation for Kirkland's. We took bold steps to reinvigorate our assortment, realign our infrastructure and improve e-commerce and we're well on the path of implementing direct sourcing. Overall, the work supports our long-term strategy to preserve Kirkland's valued DNA as we increase relevancy and improve retail fundamentals. During 2019, we reinvented core product assortments and added new categories that make us more important to the Kirkland's loyal customer base. We addressed supply chain flow and investing in our omnichannel platform. The results we reported today reflect the depth of the transition with plans to close 2,800 underperforming stores and a further reduction in operating expenses. The results also reflect encouraging progress. We achieved strong e-commerce growth in the quarter and we had better performance in segments of the assortment, including furniture and tabletop. We ended the year with a solid balance sheet, and we believe we're well positioned to execute our vision and strategy for Kirkland's. Let me share some thoughts about our key priorities for 2020. It starts with further accelerating product development to build on what we've accomplished in 2019. Our goal is to be in the consideration set for a complete home furnishings projects in addition to the finishing touches. Let me elaborate on that. Kirkland's has historically been known as a key resource for accessories when a home decor project is near completion. We've been a ideal stops to pick up our reads for the front door, a candle for a certain room, some finishing artwork or even some holiday decor that makes your make your home happy as a happy place to live. We have a long history there and the focus is to serve our customers well. At the same time, we've been losing market share to mass merchants and online omni players with an assortment that's too narrowly focused in some cases. During 2019, we added larger furniture pieces, table top, rugs, beds and bedding. We've been more deliberate in our color direction and design point of view, and edited assortments to tell our clearer story to the customer. We have also included occasional chairs, recliners and large scale tables for our assortment. The final add is being tested this year with upholstery. This strategy is to get our customers thinking about us for complete decorating projects. We want to do the complete casual home decor store where essentially everything goes together with one point of view. That allows our customers to finish their entire room or home, all within a tight budget. Our goal is to move away from being coupled with the mass merchant retailers, and fit squarely as the value home retail store within the specialty world. Our second goal is to improve omnichannel via Web site enhancers, incremental digital spend and an expanded online assortment. We view ecommerce as an accelerator to our overall business strategy. Our focus on buy online pick up in store has been a big success, and we're making additional improvements in the supply chain that will help with both speed and profitability. Third, we will continue to increase direct sourcing with a goal of increasing penetration in 2020. We're in the process of moving from the vendor base of primarily wholesalers to a worldwide direct sourcing base. We believe we can improve margins and quality as we differentiate our assortments to be more exclusive. Fourth, we are investing in marketing spend to drive consumer acquisition and brand awareness. Our stores look and feel better than they ever have. Our assortments are clean, focused and edited to tell home décor core stories, and these elements are starting to take shape with improved sales and margins. We have started to convey our brand messaging to acquire new customers, while educating our current loyal base. With traffic continuing to be a challenge and we are concentrating on growing the basket size and the average unit retail of our offering unparalleled value at a price. I welcome all of you to see our stores for yourself and let me know what you think. Fifth, we will continue to preserve our capital to invest in the business way. We ended 2019 with over 30 million in cash and no debt under our borrowing agreement. We'll continue to evaluate the store infrastructure and we'll focus on additional ways to optimize our expense and increase efficiency. We've accomplished a great deal but emerging as a powerful true home furnishings brand from an accessory store takes time and patience, and that's why we've been conservative with our capital to better facilitate this transition. Now I'll turn it over to Nicole Strain, our Chief Financial Officer.
Nicole Strain: Thank you, Woody. Before speaking for the specifics of the quarter, I would like to address some of the larger financial items impacting the fiscal year and how we see those affecting us as we move forward. As Woody discussed, we took significant steps during the year to transition Kirkland’s to a model that can generate profitable growth and we believe we will make progress down that path in 2020. We rolled out new categories and made significant improvements in both the quality and design of our merchandise. Our full year performance in 2019 reflects margin pressure related to rebalancing our assortment to improve quality and design, while still recognizing the increasingly promotional competitive environment. During the fourth quarter, we experienced strong sell-through of our holiday merchandise and had a new store start immediately after Christmas. We ended the year with two consecutive months of positive comparable sales with January up 6.7% and e-commerce growth pushing 40% for the quarter. In addition to the merchandise changes, our fiscal 2019 results include initiatives to streamline our model to enable us to better compete in the future. We initiated aggressive negotiations with our landlords that allowed us to improve profitability at a number of our locations, and we negotiated an exit out of locations that were unprofitable, which we’ll be closing in the first quarter of 2020. The majority of the benefit of the reduced occupancy costs will be realized in fiscal 2020, but much of the expense was reflected in the fourth quarter of 2019. We will continue to pursue lease negotiations throughout the remainder of our portfolio and to refine our store footprint to support an optimal omnichannel model. We stood up a second distribution center outside of Dallas, which reduced our transportation miles and generated annual net savings. We saw a partial year benefit in fiscal 2019, but we'll realize the full benefit in 2020. We were implementing new warehouse management system, which will allow us to consolidate our two distribution centers in Jackson, Tennessee and stand up two e-commerce hubs in the first half of fiscal 2020. This will result in a reduction of distribution center costs, e-commerce shipping costs and improved SLAs for ship-to-home orders. Again, most of the capital and the impairment charges were reflected in the fourth quarter of 2019, but benefits will begin in the first half of fiscal 2020. We reduced operating costs by approximately $24 million when compared with 2018 across all areas of our business, which included revisiting the store operating model to prioritize flavor to our high contribution stores, reducing corporate overhead and initiating a review of all operating costs. Our fiscal 2019 results reflected approximately $10 million of those savings. And finally, we implemented direct sourcing, which will have roughly 100 basis points of margin impact in fiscal 2020, and we'll have an increasing benefit on product margin as our penetration growth. Direct sourcing will also help us begin to diversify our sourcing outside of China. Our adjusted loss per share for the year was $1.57 versus our guidance for a loss of $1.75 to $2. The table to reconcile to the most appropriate GAAP measure is included in our earnings release, which was filed pre-market today. The following explanations are all on an adjusted basis. Moving to the quarter. Net sales for the fourth quarter decreased 3.1% or $6.7 million compared to the fourth quarter of the prior year. The change in sales includes the comparable store sales decrease of 2.7% made up of 37.9% increase in e-commerce revenue and a high single-digit decline in brick-and-mortar sales, and that's on top of 3.3% combined comp decrease and 15.3% increase in e-commerce in the prior year. In our brick-and-mortar stores, shop traffic continued and was the primary driver of the comparable store sales decline. E-commerce accounted for 34.6 million in revenue during the quarter, or approximately 17% of our total revenue. We saw a significant increase in transactions, which was partially offset by a decline in average ticket. For the quarter, 53% of our ecommerce sales were fulfilled in store at a higher level of profitability than direct to consumer sales. Both this accounting for over 30% of our e-commerce sales in the quarter, allowed us to be relevant and offer solutions for last minute holiday shoppers at a level we weren't able to provide in prior years. Gross profit margin in the fourth quarter decreased 460 basis points from the prior year to 29.8%. Merchandise margin decreased from the prior year by 330 basis points to 49.3%. And that was driven by a decrease in product margin from both product mix and incremental discounting, and we had a favorable damage adjustment in the prior year. Outbound freight costs, which include e-commerce shipping, increased 20 basis points as a percentage of net sales due to the increase in e-comm sales. Store occupancy costs decreased by 600,000, but remained flat as a percent of sales compared to the prior year quarter. Deleverage from the decline in brick and mortar sales was offset by negotiated rent savings and lower depreciation due to asset impairments during the year. We continue to believe there is significant opportunity to remove costs from our brick and mortar infrastructure from both renegotiated lease terms and closing of underperforming stores. Central distribution costs increased by 110 basis points as a percent of sales compared to the prior year, mainly due to a change in the methodology of capitalizing distribution costs. Operating expenses for the fourth quarter, excluding depreciation and impairment, were 24.3% of sales compared to 24.6% of sales in the prior year quarter or a decrease of $2.2 million. Store operating expenses increased 35 basis points as a percent of store sales, primarily due to the deleverage of store labor. E-commerce expenses decreased to 170 basis points as a percent of e-comm sales due to operating leverage on fixed costs. And corporate expenses remain consistent as a percent of sales for the prior year quarter. Depreciation and amortization decreased 10 basis points. We recorded an impairment charge of $12 million in the quarter. Of the impairment charge, $5.6 million related to impairment, $4.7 million to impaired softer projects and $1.7 million to store fixture and DC impairment. These charges were excluded from adjusted income per share. The valuation allowance recorded in the third quarter continued to impact our tax rate, which was 4.7% for the fourth quarter of 2019 compared to 27% in the fourth quarter of 2018. The favorable impact of the lower tax rate is normalized in adjusted earnings per share. For the quarter, we had a net loss of $0.35 per diluted share for income of $0.59 adjusted compared to net income of $0.95 per diluted share in the prior year quarter or $0.97 adjusted. And moving onto the balance sheet and cash flow statements. At the end of the quarter, we had $30.1 million of cash compared to $57.9 million in the prior year period. We repaid all borrowings on our revolving line of credit during the quarter. The year-over-year decrease in cash was driven primarily by the decline in operating performance, capital expenditures and share repurchases in the first half of the year. We ended the year with $61 million of availability on our credit facility. Our inventory balance at the end of Q4 was $94.7 million, which is an increase of approximately 12% over the prior year period. The inventory increase includes funding the new product categories released early in the third quarter, as well as inventory from softer sales in some non-seasonal categories. There is minimal risk of obsolete seasonal inventory as we effectively moved through all seasonal products during the quarter. Further, we directed excess clearance and overstock inventory to the store closings in the first quarter of 2020. Year-to-date, cash used by operations was $8.3 million compared to cash generated of $22.3 million in the prior year. The decrease was due to the decline in operating performance and changes in working capital. Capital expenditures were $15.7 million compared to $28.8 million in the prior year, and were driven primarily by investments in supply chain, e-commerce and store additions and remodel. As we look forward to fiscal 2020, our goal is to continue to execute on our long-term plan to become the home decor destination of choice for value shoppers, and to transition our infrastructure to support the merchandise strategy, allow our customers to have a seamless purchase wherever she chooses to shop and return to profitability. We expect the sales trend to improve versus 2019 as we benefit from further assortment improvements, continued momentum in e-commerce, marketing spend and the closing of underperforming stores. We expect to generate marginally positive EBITDA in fiscal 2020, driven by stabilization in our gross margin and expense controls. Gross margin should benefit from the initiatives to reduce store occupancy costs to more efficient supply chain and our direct sourcing program, offset by an increase in e-commerce shipping as the online mix of our business growth. We will see the benefit of the $24 million in costs reductions relative to 2018 and a reduction of operating expenses as a percent of sales of approximately 150 basis points, and that's after funding incremental marketing spend directed towards customer acquisition. From a capital perspective, we will continue the focus on the conservation of cash to ensure we have the runway to implement the initiatives needed to return our business to prior levels of profitability. We expect to generate approximately $5 million of cash in fiscal 2020, and expect borrowings on our credit facility within the third quarter and to be repaid within the quarter. Capital expenditures will be in the range of $10 million to $15 million with us managing to the low end unless our business improves faster than expected, which will allow us to expedite additional projects in the back half of the year. And finally, this outlook does not contemplate either the supply chain or demand risk from COVID-19. We are watching those closely and we'll react as needed, but are not providing any estimated impact at this time. And now I'll turn it back to Woody for some final comments.
Woody Woodward: Thanks, Nicole. I want to end by saying our priority at the organization is the safety and wellness of our employees, who work so hard every day to make Kirkland's a special shopping experience and our customers who are visiting our stores. We're following the guidance from the CDC, as well as state and local public health agencies, to respond to the rapidly evolving situation with coronavirus. While there's uncertainty in the near term, we feel good about our strategy we have in place. And we're well-capitalized to continue to transform the business in 2020 and beyond. With that, I'll turn it over for any questions you may have. Thank you.
Operator: We will now begin the question-and-answer session [Operator Instructions]. Our first question today comes from John Lawrence of Baraboo. Please go ahead with your question.
John Lawrence: Woody, could you give us a sense of the fourth core? And I know this product set is evolving. But give us a sense of the things that you were really pleased about. And what really you saw took hold and sort of a progress of how that goes for the first half of 2020?
Woody Woodward: One of the things that happened in the fourth quarter was that November got off to a little bit of a slower start, primarily because of some timing between Thanksgiving and the Christmas holiday. So we ended up negative in November. But then we came back with our first positive comp in December in many years, which we were very pleased with. And it was primarily driven by our holiday assortments that were really well received and some of the new categories starting to take hold. Then we ended up in January with even more improvement with a positive 6.7% comp. We started off February in a pretty good shape before all the disruption in the marketplace. And so I'm pleased with the way our customers, our current loyal customer base is responding to new categories with some of the clear winners being the things that have always been clear winners for us, which are our candle assortments, our holidays assortment. But from renewed categories that’s going to be really been working were the tabletop business, which has been very, very well received and then to a lesser degree our rug business. It’s been very much what we expected but we feel like we have more opportunity there and embedding it still in development, basically with the last category that we landed. We've also added embedded in all the merchandise new categories was some edits to the assortment where we took out our apparel that we just didn't feel reflected our efforts to become a serious home furnishings retailer, and so that was done in the fourth quarter. So, we ended up with those clean inventory going forward, like Nicole said, with very little risk, because we didn't carry forward any of these seasonal products. And now we're landing new products, which we realize are very focused and our customers are responding to. So despite the current disruption with the coronavirus and the banking situation, and stock market, we feel good. We think that we’ll emerge from this with a much healthier business and not only are we bringing along our current customer base, which seems to like our new changes, but we're also acquiring new customers. And so any other color you need on that I'd be happy to answer.
John Lawrence: So we'll continue to edit the presentation and when will all the new products, I know you're constantly making edits in certain, but as far as the bedding and all of that, by spring or I would say summer of ’20, all the store look like pretty much with all the new product what you want it to be?
Woody Woodward: Yes, that's a good question, because merchandising is an evolving process. It's a journey that you're never complete, because you're always improving. But I think that we came out of Christmas this year and get a floor set right after the holiday that really took hold with our customer, and that's why we delivered such a good positive comp in January. It was fresh, it was new. So I think our stores look pretty darn good right now, there's always the next wave of products coming right now. We just landed our outdoor assortment on the floor, so we're proud of the way that looks. So it's an evolution. There's still a few issues in the store that I would like to improve on of course. But the stores are looking pretty good despite the current environment they're looking for a good, so please go in and take a look and let us know what you think…
John Lawrence: And on that subject, as far as China is concerned at this point, any shipping issues or problems with containers as you look forward at this point?
Woody Woodward: There are. We are having some slowness of some of our products coming in. We ended up the year with a little bit of extra inventory to allow us to mitigate the risk. Now, we're starting to see the factories come back online. We do build a little bit of a pad into our product flow, especially on holiday products. So, I think that we will experience some delays, but last year we also took the initiative with some of the tariffs to move and balance our assortments out of China, so that we're not 100% as dependent on China as we used to be. Now we've got Vietnam up and running, we've got our business in India doing really well and then of course our domestic sources. So, we feel pretty good. There will be some disruption, but I don't think at this particular point, its material but we'll have to wait and see, because the environment is changing so quickly.
John Lawrence: Last question, Nicole, do you have a sense of, if you could give us the 28 store closures for the first quarter, the amount of sales and the amount of loss that you will be exiting out of those 28 stores?
Nicole Strain: So, the 28 stores definitely represented the first half at the stores that were EBITDA negative. On average we had some that were significantly negative and some that were slightly positive and trending down. So total that group accounted for roughly $1 million in loss. But again, it was really the stories that were trending down. I think from a sales perspective, a lot of them, it was a mixture of low volume stores and high volume stores that just didn't make money, because the expense structure was so costly in the areas that they were. So, its first phase of us looking at our portfolio and trying to get two things down to the most profitable stores and also the stores in the right places to support our omni-channel vision.
Operator: [Operator Instructions] There are no questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Woody Woodward for any closing remarks.
Woody Woodward: Thank you for listening. We really appreciate it and stay healthy.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.